Operator: Good afternoon. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to the M/I Homes First Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Thank you. I’d like to now turn the conference over to Phil Creek. Please go ahead, sir.
Phillip Creek: Thank you. Thank you for joining us today. Joining me on the call is Bob Schottenstein, our CEO and President; Tom Mason, EVP; Paul Rosen, President of our Mortgage Company; Ann Marie Hunker, our VP, Corporate Controller; and Kevin Hake, Senior VP. First, to address regulation fair disclosure, we encourage you to ask any questions regarding issues that you consider material during this call, because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, I want to remind everyone that the cautionary language about forward-looking statements contained in today’s press release also applies to any comments made during this call. Also, be advised that the company undertakes no obligation to update any forward-looking statements made during this call. With that, I’ll now turn the call over to Bob.
Robert Schottenstein: Thanks, Phil, and good afternoon, everyone. We are off to a strong start in 2016, highlighted by very good sales, record first quarter closings, our strongest first quarter backlog in 10 years, strong performance from our Financial Services segment, and solid income with improving returns. As stated in this morning’s release, we’re very pleased with our first quarter results. The spring selling season has been very good so far and our sales growth has been robust. We sold 1,314 homes in the quarter, 19% more than a year ago. And it’s important to note that our year-over-year increase in sales was achieved evenly across our three geographic regions, being the Midwest, Mid-Atlantic, and South. We closed 876 homes in the quarter, which was a company record for the first quarter, and is up 22% over last year’s closings. Revenues for the quarter also increased by 23%. Our backlog sales value increased 27% to $730 million and backlog units increased 22% to 1,969 homes. At quarter’s end, we had 356 more homes in backlog than a year ago. And as I noted earlier, this is our strongest first quarter backlog in 10 years. Pre-tax income for the quarter was $14.7 million compared with $15.7 million a year ago. Excluding the impact of land sale profit, our pre-tax income significantly increased by 34% over last year on 23% more revenues. During last year’s first quarter, we had over $5 million of land sale gross profit compared with less than a $1 million this year. I simply mention just to remind everyone that even though land sales occur within our business from time to time, they’re by no means routine and can fluctuate significantly from quarter to quarter. During the quarter, we successfully opened a number of new communities as planned finishing the quarter with 181 open communities compared to 175 at the beginning of the year, 18% more communities than a year ago. We’re on track to increase our average community count growth this year by 10%. We also continue to improve our operating leverage. SG&A expenses as a percentage of company revenue saw 40 basis points from last year’s first quarter to 13.7%. As Phil will mention, we continued to focus everyday on improving our returns. Our balance sheet and liquidity remain strong with a ratio of net debt-to-capital of 51% at quarter’s end and only $114 million outstanding on our $400 million unsecured line of credit. We continue to focus on premier locations and are well-positioned with a very good lot position of more than 22,000 lots under control, of which 49% of the lots are owned and 51% are tied up under contract. We’re also very excited to announce our plans to further expand our Florida business with the opening of our 15,000 division in Sarasota, Florida. As I think everyone knows, we have been operating in the Tampa markets since 1981 and have been a leading builder in Tampa for many, many years. As part of our Tampa operation, we have successfully developed several communities in the Sarasota market over the years. Clearly, Sarasota is a vibrant market on its own, having grown to become one of the top 30 housing markets in the United States. With our local market knowledge, experienced leadership, and a very firm focus on growing the Sarasota market, we are excited about this new division and confident that we can grow it and establish a meaningful presence in Sarasota. Now, I’ll provide a little more detail about the operations within our three regions. First is, Southern region, which is comprised of our two Florida markets; Orlando and Tampa, as well as our four Texas markets; Dallas, Austin, San Antonio, and Houston. In the Southern region, we had 350 deliveries during the first quarter, which represented 40% of total volume. New contracts in the Southern region increased 19% year-over-year. Tampa and Orlando sales were particularly strong during the quarter and we expect both of these markets to continue to perform well for us throughout 2016. In our relatively new and growing Texas operation, Dallas and Austin continued to improve their market position and contributed significantly to our first quarter new contracts and deliveries. Both of these markets remain strong, and we’ve seen a pickup in sales in San Antonio throughout the quarter with overall demand in – the overall demand in San Antonio is still not quite as strong as what the demand we’re seeing in Austin and Dallas. We continue to market – to monitor rather market conditions in Houston, as demand has weakened there with slower job growth, and certainly, also the impact of falling oil prices. The dollar value of our sales backlog in the Southern region at the end of the quarter was 17% higher than a year ago. We had 68 communities in the Southern region at the end of the quarter, which represents 26% increase from a year ago. And as to our four Texas divisions, we had 40 communities at the end of the quarter versus 31 a year ago. We continued to be very excited about our growth opportunities on our four Texas and two Florida divisions and soon to be open third Florida division in Sarasota. Next is the Midwest region, which is comprised of five markets; Columbus, Cincinnati, Indianapolis, Chicago, and Minneapolis, which we opened for the first time late last year. In the Midwest region, we had 322 deliveries in the quarter, which was a 30% increase from last year and 30% – 37% rather of companywide total. New contracts in the Midwest were up 18% for the quarter, and we experienced positive sales in every one of our five markets. Our sales backlog in the Midwest was up 37% from the end of last year in dollar value, and our controlled lot position in the Midwest increased by 50% compared to a year ago. Both of these – both the increase in backlog and lot position were positively impacted by the late 2015 acquisition in Minneapolis. We ended the quarter with 72 active communities in the Midwest, this was 13% more than a year ago. The demand in all of our Midwest markets is solid. Each market is performing well with Chicago continuing to be one of our strongest markets in terms of our financial performance within the Chicago market. In Minneapolis, it’s off to a very solid start in its first full quarter of operations for us by virtually every metric. Finally, the Mid-Atlantic region, which is comprised of three divisions; one in Charlotte, one in Raleigh, and finally our market in Washington D.C In the Mid-Atlantic region, our new contracts were up 19% for the quarter compared with a year ago, backlog value up 23%. We ended the quarter with 41 active communities in the Mid-Atlantic region, which was up 17% from last year. We closed or delivered 204 homes in the Mid-Atlantic region during the first quarter. This is a 5% increase from a year ago and 23% of our company total. Both Carolina markets had a very strong quarter with improvement in sales and deliveries. Though demand in the D.C. market remain sluggish, we saw modest improvement conditions there during the quarter and our sales were steady. Our total controlled lots in the Mid-Atlantic at the end of the quarter decreased by 20% from last year. And I’ll note on that count that we continue to manage closely our investment levels within Washington D.C. Before turning the call over to Phil to discuss our financial results in more detail, let me conclude by repeating what I said at the outset of this call. We are off to a strong start. We have good momentum. We are encouraged by the strength thus far in the spring selling season. We feel very good about our geographic footprint and the quality of our 181 open communities. We are optimistic about our business and believe we’re well-positioned to have a very good 2016. And with that, I’ll turn it over to Phil.
Phillip Creek: Thanks, Bob. We continue to focus on improving our profitability and our returns. New contracts for the first quarter increased 19% to 1,314. Our traffic for the quarter was up 26% and our community count was up 18%. Our new contracts were up 24% in January, up 25% in February and up a 11% in March. As to our buyer profile, 40% of our first quarter sales were to first-halftime buyers, that compares to 38% in 2015’s fourth quarter, and 45% of our first quarter sales were inventory homes compared to 51% in 2015’s fourth quarter. Our active communities were 181 at the end of the first quarter. To breakdown by region is, 72 in the Midwest, 68 in the South, and 41 in the Mid-Atlantic. During the quarter, we opened 13 new communities, while closing seven. For 2016, our current estimate is that our average community count for the year should be up about 10% over 2015 levels. We delivered 876 homes in the first quarter, delivering 57% of our backlog compared to 59% a year ago. Revenue increased 23% in the first quarter compared to last year, primarily as a result of an increase in average closing price and number of homes delivered. Our average closing price for the first quarter was 353,000, a 9% increase over last year’s 325,000, and our backlog sale price is 371,000, which is up 4% from a year ago. Land gross profit was 700,000 in 2016’s first quarter compared to $5.2 million in 2015’s first quarter. We sell land as part of our land management strategy and as we see profit opportunities. This reduced land sale profit of $4.5 million had a big impact on our comparative results. During the first quarter, we took a $2.2 million charge for cost associated with stucco-related repair cost in certain of our Florida communities. Prior to 2016, we accrued for and made repairs on certain effective Florida homes under our general warranty reserve. During the first quarter of 2016, the number of the stucco claims increased. So we adjusted our reserve to reflect the stucco issues. Our assessment of the stucco issue is ongoing. As we obtain additional information, we may revise our warranty reserve. Excluding our stucco charge, our first quarter gross margins were 20.5%, which was 30 basis points higher than 2015’s fourth quarter. And excluding the impact of land sales in both first quarter periods, our gross margin in 2016’s first quarter declined by 90 basis points from 2015’s first quarter. This decline was primarily due to a shift in the mix of communities delivering homes, higher lot cost, and purchase accounting from our fourth quarter acquisition in Minneapolis, specifically the purchase accounting impact was 20 basis points in 2016’s first quarter. Our first quarter SG&A expenses were 13.7% of revenue, improving 40 basis points compared to 14.1% a year ago, reflecting greater leverage from higher closing revenue. We continue to focus on improving our operating efficiencies. Interest expense increased 800,000 for the quarter compared to last year, primarily due to higher borrowings. We have $17 million in capitalized interest on our balance sheet compared to $16 million a year ago. This is about 1% of our total assets. And our effective tax rate was 38% in 2016’s first quarter, which approximates our expected annual rate. Our earnings per diluted share for the quarter were $0.30 per share. This per-share amount reflects $1.2 million of dividends paid to our preferred shareholders. Now, Paul Rosen will address our mortgage company results.
Paul Rosen: Thanks, Phil. Our Mortgage and Title operations pre-tax income increased from $5 million in 2015’s first quarter to $5.9 million in the same period of 2016. Our first quarter results include an increase in loan originated from 568 to 604, an increase in average loan amount and higher margin sold – on loans sold. The loan-to-value on our first mortgages first quarter was 85% in 2016, same as 2015. 71% of the loans closed were conventional and 29% were FHA, VA, the same as the first quarter of 2015. Overall, our average mortgage amount increased 10% to $293,000 in 2016’s first quarter compared to $266,000 in 2015’s first quarter. The average borrower credit score on mortgages originated by M/I Financial is 734 in the first quarter of 2016 compared to 738 in 2015’s fourth quarter. Our mortgage operation captured approximately 82% of our business in the first quarter, same as 2015’s, first quarter. On March 31, 2016, we had 73 million outstanding under the M/I F credit agreement, which is $110 million commitment that expires June 24, 2016, and $14 million outstanding under a separate repo facility, which expires November 1, 2016. Both facilities are typically 364-day mortgage warehouse facilities that we extend annually. Now, I’ll turn the call back over to Phil.
Phillip Creek: Thanks, Paul. As far as the balance sheet, we continue to manage our balance sheet carefully focusing on investing in new communities, while also managing our capital structure. Total home building inventory at March 31, 2016 was $1.2 billion, an increase of $200 million above March 31, 2015 levels, primarily due to higher investment in our backlog, higher community count, and more finished lots. Our land investment at March 31, 2016 is $572 million, a 22% increase compared to $470 million a year ago. At March 31, we had $237 million of raw land and land under development and $335 million of finished unsold lots. We owned 4,285 unsold finished lots with an average of 78,000 per lot, and this average lot cost is 21% of our 371,000 backlog average sale price. Our goal is to maintain about one-year supply of owned finished lots. The market breakdown of our $572 million of unsold land is $165 million in the Midwest, $226 million in the South, and $181 million in the Mid-Atlantic. Lots owned and controlled as of March 31, 2016 totaled 22,262 lots, 49% of which were owned and 51% under contract. We owned 10,868 lots of which 32% are in the Midwest, 43% are in the south, and 25% in the Mid-Atlantic. During 2016’s first quarter, we spent $52 million on land purchases and $32 million on land development for a total of $84 million. About 40% of the purchase amount was raw land. Our estimate today for 2016 land purchase and development spending is $425 million to $475 million, which included the $84 million spent in our first quarter. At the end of the quarter, we had 326 completed inventory homes, which is two per community and 801 total inventory homes. Of the total inventory homes, 235 are in the Midwest, 399 are in the Southern region, and 167 in the Mid-Atlantic. At March 31 2015, we had 413 completed inventory homes and 872 total inventory homes. Our financial condition continues to be strong with $605 million in equity and net debt to cap ratio of 51%. At March 31, 2016, there was $115 million outstanding under our $400 million unsecured revolving credit facility. We have no debt maturing this year and only $58 million of convertible debt due in 2017. This completes our presentation. We’ll now open the call. Christy?
Operator: Yes, sir.
Phillip Creek: We’re ready to take any questions.
Operator: All lines have been opened.
Phillip Creek: Christy, we can’t hear you anything.
Operator: [Operator Instructions]
Phillip Creek: Christy, are you there?
Operator: Yes, sir. I’m here. All lines have been opened for questions or comments.
Phillip Creek: I think there has been technical problems with the call from the outset. How many participants do you show?
Operator: 12.
Phillip Creek: Can you check with them to see if there are any questions. Can you ask now?
Operator: [Operator Instructions] And you do have a question from Alan Ratner.
Alan Ratner: Hey, guys. Good afternoon. I’m glad we were able to get that straightened out here.
Phillip Creek: Alan, let me ask you a question before you ask us one?
Alan Ratner: Please do?
Phillip Creek: We’re concerned that there may have been technical issues on the call. Were you able to hear at all?
Alan Ratner: We heard it crystal clear. So all good.
Phillip Creek: Okay, good. Thanks, Alan.
Alan Ratner: Yes, and absolutely. So first off, just a quick complement. I think you guys are doing a great job of delivering solid growth, execution, very consistent I know. It doesn’t seem like the market might be giving you the credit for it. But from our perspective, I think it’s impressive what you guys are doing. And obviously with the expansion to Sarasota, looks like you guys have more opportunity to expand the footprint, which is good to see. With that out of the way, I guess, my question on the gross margin, you mentioned you had some purchase accounting headwind this quarter and there was some mix as well. The homebuilding gross margin piece, if we back out the land was lower than what you guys reported in the last couple of years. Just curious, is that mix headwind, should you expect that to subside going forward through the year, or where do you see your margin and backlog relative to what you just delivered here?
Phillip Creek: Alan, we’re not going to make any projections as normal as far as margins. We talked about a couple of things. We talked about the purchase accounting being about 20 basis points compared to a year ago. We were pleased the first quarter margin was better than the fourth. I’m sure you’re focused on the first quarter of this year versus last year. Also there is an increase in land cost built in there. When you look at the mix, for instance, we talked about the challenges in D.C. We did deliver more homes in D.C. in the first quarter of this year than a year ago, and that brought the margin down some, and a couple of other markets, which might have had just some really, really high margins the first quarter of last year weren’t quite duplicated this year. So it was some mix issues in there also.
Robert Schottenstein: The only other thing I’ll add to that is, thank you for your comments. Before you asked a question, I appreciate it, and we agree with you. We’re very – as I said, we feel really good about our performance and are encouraged by demand we’re seeing in our models, obviously the strengths thus far the spring selling season and feel that we’ve got some really good momentum.
Alan Ratner: Great, thanks, Bob. And if I could sneak in one more, I don’t know if Paul is on for Q&A. But just on a mortgage side, as you kind of cycling through the first round of originations under trade. We’re hearing on the backend, when you sell loans to investors that there has been some delays or just some more scrutiny on those loans, which is taking a bit longer to sell in some cases. So you mentioned your warehouse line. Just curious if there’s any contingencies in place there to protect yourself against potential delays on selling loans in the future, as you sell more in 2Q and 3Q that fall under TRID? And I guess just any commentary in general related to TRID that you are seeing would be helpful. Thank you.
Paul Rosen: Well, thank you for the question. Actually, we had prepared for a TRID in August of last year. It didn’t come until later on. We never really had to implement any of our contingency plans. But our operations are closing loans on the TRID and they’re being purchased at the same speed, as I had been before TRID. The compliance and review by our investors have not slowed us down at all. Having said that, we still have a contingency plan in place, where we sell directly to the agencies. So should the investors be slow in purchasing loans, we can sell direct and not be impacted by it.
Alan Ratner: That’s very helpful. What percentage do you sell direct to the agencies right now versus correspondent or outside lenders or investors?
Paul Rosen: It’s generally based on the execution in each month, it runs anywhere from 30% to 70% based upon where we can sell our loans, we get the best execution.
Alan Ratner: Got it. That’s really helpful. Thanks a lot, guys, and good luck.
Paul Rosen: Thanks, Alan.
Operator: Your next question comes from the line of Michael Rehaut with JPMorgan
Jason Marcus: Good afternoon. Jason in for Mike. First question, I think last quarter you mentioned that there were some issues with labor that had been resolved -- or not resolved, but that they had stabilized and that you are able to manage them better. So just wanted to get an update on the labor and materials front and what you are seeing there and if there’s certain markets that are still being more impacted than others?
Ann Marie Hunker: Can you pick up the speaker line, it just been holding and holding?
Phillip Creek: I think as far as from the cost and labor side, we think things have actually improved a little bit. We’ve seen some stability as we’ve worked hard on having good partnerships and also acquiring some incremental vendors. Hard costs in the quarter really were not up that much from the prior quarter or two. Each market is a little bit different. Lumber’s been trending up a little bit, concrete in certain markets. When you start looking at the labor side in certain markets, frame labor continues to be a little bit of a challenge. But overall, we start looking at our cost increases. It’s really been more on the land side and the land development side, as opposed to the sticks and bricks.
Jason Marcus: Okay, great. That’s helpful. And then I guess just moving to the land market, wanted to get the latest on the recent trends you are seeing there in terms of competition and pricing, and then also how you are thinking about land spend this year, and then I guess, beyond this year, how you are thinking about land spend as we get a little bit further into the cycle?
Robert Schottenstein: I don’t – let me take the first part of that and then Phil already mentioned what the projected land spend was. But I’ll – he will repeat that here when I’m finished. I don’t think we’ve seen any noticeable change since the last quarter or two, and what’s happening out in the field vis-à-vis land transactions. We’re in 2014 and soon to be in 2015 very competitive markets And the level of competition for the premier locations and the prime thesis hasn’t really changed, and it’s got no better, it’s got no worse. I feel like our land position is the strongest it’s ever been, both in terms of quality, the dispersion of the land across the various markets, the fact that we only have about half of the land on our books and the rest is tied up pursuant to contracts. And we feel really good about it. We feel like we’ve got that the land under control to fuel pretty good growth for the company over the next several years. Phil, why don’t you talk about spend?
Phillip Creek: Yes, as we said the estimate today for 2016 is to spend 425 to 475 for the year, and that includes land purchases and land development. As Bob said, today, we control about 22,000 lots. If you look at a year ago, it was about 20,000 lots. We like owning a two to three-year supply of our current run rate. And inside that two to three-year supply, as we said, we like owning about one-year of finished lots, and we own about 4,300 finished lots at 331. So we think we have a really good position.
Jason Marcus: Okay. And then just lastly, just to follow up on the stucco charges. Is that something that could potentially impact other markets, or is that really just specific to Florida, and how should we think about that?
Thomas Mason: Jason, this is Tom. We’ve – that’s only in our Florida markets and it is almost exclusively on our Tampa market we’ve not seen it elsewhere.
Jason Marcus: Okay, thanks.
Operator: And your next question comes from the line of Alex Barron from Housing Associates.
Phillip Creek: Hey, Alex.
Alex Barron: Hey, Phil. So I was hoping you could comment, you went a little fast for me on your order trends for the quarter. If you could repeat that again, I would appreciate it, and also any comment on April?
Phillip Creek: We don’t make any comment on April. As far as for the quarter, our new contracts were up 24% in January. We were up 25% in February. We were up a 11% in March. Our traffic for the quarter was up 26%.
Alex Barron: Okay. Was the change in the first two months versus the last month just due to a more difficult comp, or was there – did you feel some type of a slowdown in demands? What do you think it was?
Robert Schottenstein: We’ve – this is Bob Schottenstein. We’ve been very pleased thus far with the traffic and the demand we’ve seen in virtually all of our markets throughout the first quarter. As I mentioned in my specific market by market review, Houston is – the demand is not where we’d like it to be. And the D.C. market though it’s been somewhat sluggish there too, we have begun to see slightly improving conditions there. But we are very pleased with having our first quarter sales up by nearly 20% and the fact there was 25, 24, 11 or, however, went month by month. We don’t – we didn’t feel any necessary trends from that. It was more about comparing to a big March a year ago.
Alex Barron: Got it. And then as far as the SG&A trends or outlook for this year, are you guys projecting, you’re going to see some further leverage as the volume, and any comments on the corporate side of the dollars? Are those going to stay around these current levels, or continue to go up with volume?
Phillip Creek: As we’ve been saying for the last couple of years, if you look at our SG&A, we’ve been working very hard to bring that down. It would be our plan to continue to work very hard on that with our backlog the way it is and so forth. Again, we would expect our SG&A leverage to continue go in the right way. And even though we don’t have any specific guidance in the market, internally our goal is to bring it down.
Alex Barron: Do you think at the end of the day between gross margins and SG&A, your operating margins were end up being equal or better than last year?
Robert Schottenstein: We don’t have any projections on those type things. I mean I think when you look at our pretax income, return on sales, those type things, again when you trough the land sale differential out and the Stucco charge, we did get improvement in that in the first quarter. We continue to talk about in our goals are to improve profitability and improve our returns. So yes, that’s what we’re focused on.
Alex Barron: Got it. Good job and best of luck, thanks.
Robert Schottenstein: Thanks, Alex.
Operator: At this time, there are no further questions.
A - Robert Schottenstein: Thank you very much for joining us. Look forward to talking to you next quarter.